Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the Jacobs Fiscal First Quarter 2024 Earnings Conference Call and Webcast. Today's conference is being recorded. [Operator Instructions]. At this time, I'd like to turn the conference over to Jonathan Evans, VP of Corporate Development and Investor Relations. Please go ahead.
Jonathan Evans: Thank you, Audra. Good morning. Our earnings announcement was filed this morning, and we have posted a slide presentation on our website, which we'll reference during the call. I would like to refer you to Slide 2 of the presentation material for information about our forward-looking statements, non-GAAP financial measures and operating metrics.  We have also introduced a new supplement that consolidates certain information, including our non-GAAP financial tables. Additionally, beginning with this quarter, the company will no longer apply an adjustment to adjusted net earnings from continuing operations and adjusted EPS, which previously resulted in the application of the expected annual tax rate to all quarterly periods. Prior comparable periods are also being presented on this basis.  Turning to the agenda on Slide 3. Speaking on today's call will be Jacobs' CEO, Bob Pragada; and CFO, Claudia Jaramillo. Bob will begin by providing an overview of recent activities and summarizing highlights from our first quarter results. Claudia will provide a more in-depth discussion of our financial metrics as well as a review of our balance sheet and cash flow.  With that, I'll turn it over to CEO, Bob Pragada.
Robert Pragada: Thank you, Jonathan. Good day, everyone, and thank you for joining us to discuss our first quarter fiscal year 2024 business performance. We continue to prioritize simplifying our business model, optimizing our cost structure and accelerating profitable growth and margin expansion across our lines of business. Our team continues to demonstrate great resilience and dedication as we delivered better-than-expected underlying results in Q1, while also working to the added task of standing up 2 independent companies. At the corporate level, we are diligently working to create a leaner operating model that aligns Jacobs' position as a global leader in delivering science-based digitally-enabled solutions to our clients. And allowing us to benefit fully from the broad-based strength that we see in global infrastructure and sustainability investments.  We are confident that our actions we are taking are providing the foundation for multiyear improvement in profitability and margins, and we look forward to sharing more detail in the quarters to come.  Turning to Slide 4. I want to provide a brief update on a few key milestones related to the spin-off and merger of our Critical Mission Solutions in Cyber and Intelligence businesses with momentum. We continue to progress towards closing of the transaction in the second half of fiscal year 2024, consistent with our previous expectations. Together with momentum, we are making progress on preparing our Form 10 and private letter ruling request in keeping with the established time line of the transaction.  Additionally, we are progressing antitrust filings and regulatory approvals. Upon the public filing of the Form 10, we aim to offer more comprehensive information and look forward to introducing the combined leadership team to our investors and analysts later this spring.  I would also likely -- like to briefly touch on the cost optimization plan that we outlined last quarter. Our transformation to a less vulnerable and higher-value, higher-margin portfolio is well underway. We continue to find new ways to streamline our operating model. And while it is too early to positively revise our targets, we are increasingly confident in our ability to enhance our long-term profitability. As we progress towards separation and optimizing our corporate cost structure, we now are able to better align costs to the applicable business units.  As a result, we have made the decision to shift some corporate unallocated costs into the current P&PS segment, which will allow for greater long-term recovery of our corporate overhead. While this has the effect of temporarily weighing on our segment operating margins, this has no impact on our bottom line today. Rather, this will boost corporate profitability in the long run as we gradually recover cost from public sector clients. Providing upside beyond the initial 13.8% adjusted EBITDA margin target set for stand-alone Jacobs, post separation that we shared last quarter. This adds to our conviction that our transformation will drive multiyear value creation.  Turning to Slide 5. In Q1, I'm pleased to report a strong first quarter revenue driven by 9.5% gross and 7.9% adjusted net revenue growth that is entirely organic. Backlog increased 5% year-over-year, and gross margin in backlog improved 29 basis points year-over-year, boosting confidence that our businesses can continue their profitable growth trends.  This quarter's results include a onetime noncash $15 million inventory write-down. Excluding this item, adjusted operating profit would have increased versus the prior year period. We saw a continuation of strong organic growth in P&PS with 8.4% adjusted net revenue growth. We had a Q1 operating cash flow of $418 million, up 38% year-over-year. Strong cash conversion is a hallmark of our asset-light business model and remain robust in Q1 with $401 million in free cash flow, and we expect to generate greater than 100% adjusted free cash flow conversion in fiscal year 2024. The ultimate measure of our ability to create value is long-term growth of free cash flow per share, and that will continue to be our North Star.  Turning to Slide 6. Our People & Places line of business generated strong top line growth with adjusted net revenue up 8.4% year-over-year, marking the fifth consecutive quarter of greater than 6% organic growth. We continue to execute against our strategy of prioritizing profitable growth over absolute growth as demonstrated by gross profit and backlog increasing 7% year-over-year.  Our pipeline remains robust, and we continue to expect P&PS organic growth of mid- to high-single digits in FY '24. We anticipate full year P&PS adjusted operating margins to increase year-over-year, inclusive of the previously mentioned increase in allocation of overhead costs.  The water market remains to be a pacesetter within the company. In particular, water scarcity continues to trend across the globe, affecting billions of people. Decades of increasing population growth and agricultural demand have significantly depleted the quantity and quality of water resources. Jacobs is a leader in developing solutions to address water scarcity, including water reuse, groundwater management and desalinization.  In the Americas, California and Colorado have recently adopted regulations for direct potable reuse. And Arizona is making positive strides towards adopting similar regulations. Notably, the world's largest chipmaker, TSMC, is currently building a new semiconductor facility in Arizona. We've been selected for the first phase of the design and project delivery of the campus' industrial reclaimed water plant. In addition, multiple states in the U.S. are developing regional water supply plants to balance water availability and economic growth. As an example of such work, we were awarded a $191 million project in St. Johns County, Florida for the design and project delivery of a water reclamation facility.  This facility will treat 3.25 million gallons of water daily for beneficial reuse with 13 miles of transitioning pipelines to deliver reclaimed water for residential irrigation.  In transportation, we have a long-term relationship with Brightline West and have been awarded the design of the 218-mile high-speed rail linking Las Vegas to Southern California. Brightline West through a partnership with Nevada successfully secured $3 billion in grants from the Federal Railroad Administration as part of the IIJA funding.  In Life Sciences, we're supporting Lilly, with permitting and conceptual design for their injectable manufacturing facility in Alzey, Germany, to support an increased demand for their medicines, including their diabetes and obesity portfolio.  We continue to secure additional large engagements in the Middle East. For example, we've been appointed to provide preliminary and detail design and supervision services for utility and road infrastructure, including major road upgrades for Wadi Safar and Diriyah Gate 2 in Saudi Arabia.  In CMS, we performed very well in Q1, continuing the profitability trend demonstrated in FY '23. CMS' Q1 revenue was up 5% over year and operating profit increased 14% behind 63 basis points of margin expansion. Its pipeline and growth outlook remains strong with major award prospects in FY '24 and a light recompete schedule. The CMS team is executing well and has great momentum as they prepare to be an independent company.  PA Consulting continues to take share as demonstrated by an 8.5% revenue growth in what continues to be a choppy macro environment, particularly in the U.K. Margins were light due to some softness in December. However, we continue to expect approximately 20% adjusted operating margins for the full year and have confidence in our ability to manage variable costs to achieve that goal.  Together with PA, we celebrated new wins with the office of gas and electricity markets in the U.K. for program management services and regulatory practices that will advance the safe and secure supply of hydrogen.  Our Divergent Solutions operating unit delivered a solid quarter with 5% adjusted net revenue growth. Profits were impacted by an approximately $15 million onetime in connection with the merger. Underlying performance in the business was strong and excluded this write-down. Adjusted operating margins would have been approximately 700 basis points higher and exceeded our expectations for the quarter.  In summary, we remain well positioned to grow while serving our clients with excellence and delivering science-based digitally-enabled solutions for a more connected and sustainable world. And we continue generating strong free cash flow conversion, which will enable us to return capital to shareholders as we chart our new path forward as 2 independent companies.  Now I'll turn the call over to Claudia to review our financial results in further detail.
Claudia Jaramillo: Thank you, Bob. We are pleased with our Q1 results, which came in above our expectations. Our results illustrate our ability to deliver on our long-standing financial objectives, while at the same time, generating strong free cash flow and returning a significant portion of our cash to shareholders.  So let me begin by summarizing a few of the highlights for the quarter on Slide 7. First quarter gross revenue grew 9.5% year-over-year and adjusted net revenue grew 7%. GAAP operating profit was $204 million for the quarter and included $51 million of amortization for acquired intangibles and $60 million of other transaction, separation related restructuring and other costs. This includes $51 million associated with the separation of CMS. Our adjusted operating margin was 9.8%. I'll discuss the underlying dynamics during the reported segment review.  GAAP EPS from continuing operations was $1.37 per share. And included a $0.27 impact related to the amortization charge of acquired intangibles and $0.37 from transaction, restructuring and other related costs. Excluding these items, first quarter adjusted EPS was $2.02, up 28% year-over-year. Our adjusted EPS included a $0.49 benefit related to a discrete tax item and a $0.09 headwind related to the noncash inventory write-down.  Q1 adjusted EBITDA was $328 million and was down 3.1% year-over-year, representing 10% of our adjusted net working capital. Excluding the inventory write-down, adjusted EBITDA would be roughly flat year-over-year. The effective tax rate of 4.2% benefited from $61.6 million in discrete tax benefits related to the permanent reinvestment of capital gains associated with an overseas subsidiary. This tax benefit was incorporated in our annual guidance and we continue to forecast the 22% annual effective tax rate to fiscal year 2024.  We will no longer be adjusting our non-GAAP EPS to align with our full year effective tax rate expectations. With the entirety of the deferred tax benefit in Q1, we now expect quarterly effective tax rate to approximate 26% to 27% for each quarter of the remainder of the fiscal year.  Finally, backlog was up 5% year-over-year. The revenue book-to-bill ratio was just over 1.12x, with our gross profit in backlog increasing 6.1% year-over-year. Regarding the performance of our [indiscernible] in the quarter, let's turn to Slide 8.  Starting with People & Places Solutions. Q1 adjusted net revenue was up 8.4% year-over-year. Adjusted operating profit was down slightly, resulting in adjusted operating margins of 13.7%. However, excluding the impact of cost allocation changes previously mentioned, adjusted operating profit would have resulted in approximately 7% year-over-year growth. We continue to see solid momentum in both growth and profitability in the business and anticipate full year P&PS adjusted operating margins to increase year-over-year, inclusive of the previously mentioned increase in allocation of overhead costs.  Moving to Critical Mission Solutions. Our Q1 revenue increased 5% year-over-year with backlog up 9%, continuing a consistent trend of high-single-digit growth over multiple quarters. We also continue to find avenues through operational improvement with CMS operating margins rising by 63 basis points year-over-year.  Shifting to Divergent Solutions. In Q1, our adjusted net revenue increased by 4.7% year-over-year. Underlying execution was strong. Adjusted operating profit was $8 million, including the $15 million inventory write-down. Excluding the one-off write-down, performance was above expectations.  Now let's turn our attention to PA Consulting. Q1 saw an 8.5% year-over-year revenue increase. PA continues to deliver ongoing positive momentum in bookings and pipeline. However, the U.K.'s ongoing election cycle introduces macro risks that we are closely monitoring. We remain confident in our ability to navigate these factors by managing variable costs and are targeting approximately 20% adjusted operating margins for the full year. In total, it was a strong quarter for each of our segments from an execution standpoint.  Our adjusted unallocated corporate costs were $59 million in Q1. This quarter's cost excluded previously mentioned costs that are now being allocated to the P&PS segment. As we continue to enhance operational efficiencies and optimize our operating model, we expect this line item to trend towards $50 million per quarter or $200 million annually post debt pressure.  Turning to Slide 9 to discuss our balance sheet and cash flow. We posted another quarter of strong cash flow generation, which is indicative of the quality of our earnings and cash conversion. As Bob mentioned, we generated strong quarterly free cash flow of $401 million. As a result, we are well positioned to deliver our anticipated 100% reported and adjusted free cash flow conversion to adjusted net earnings.  Regarding capital allocation, we opportunistically repurchased $100 million of shares during the quarter, reflecting our commitment to delivering consistent returns to our shareholders. We still have $775 million remaining under last year's repurchase authorization. And as we have said, we will remain dedicated to returning capital to shareholders in aligning with our overarching goal of compounding free cash flow per share.  We remain committed to maintaining an investment-grade credit profile. We ended the quarter with cash of $1.14 billion and gross debt of $2.9 billion. Our Q1 net debt to adjusted EBITDA of approximately 1.2x is a clear indication of the continued strength of our balance sheet. As of the end of Q1, approximately 35% of our debt is tied to floating rate debt, and our weighted average interest rate was approximately 5.1%.  Finally, with our strong balance sheet and free cash flow, we remain committed to our quarterly dividend. The Board has authorized an 11.5% increase to $0.29 per quarter, and our quarterly dividend will be paid on March 22. With this, we have increased our dividends each year since 2018, driving a nearly 12% dividend CAGR over that period.  Now I will turn it back to Bob.
Robert Pragada: Thank you, Claudia. Turning to Slide 10. We continue to be energized as interest in our science-based digitally-enabled solutions remains robust as clients engage Jacobs to solve their most complex challenges. Internally, we remain focused on execution and continuing to deliver against our operational and financial objectives. We reiterate our outlook for fiscal 2024 adjusted EBITDA of $1.53 billion to $1.60 billion, with adjusted EPS of $7.70 to $8.20, representing 9% and 10% growth at midpoints, respectively. This guidance incorporates Q1 adjusted EPS of $2.02 and as Claudia shared, a 26% to 27% adjusted effective tax rate each quarter for the remainder of this fiscal year.  Though we expect a heavier than normal cost structure until separation, particularly in [indiscernible], we anticipate accelerating EPS growth in the second half of the fiscal year.  In closing, we've maintained focus on standing up both independent Jacobs and CMS for success while streamlining and optimizing our operating model and positioning both companies for long-term value creation.  Operator, we will now open the call for questions.
Operator: [Operator Instructions]. We'll go first to Andy Wittmann at Baird.
Andrew Wittmann: Oh, great. I guess for those who are unfamiliar, including myself to some extent here, on the SG&A reallocation into the segment, I think what you're saying there is if -- in these reimbursable public sector customers that you have, if you can show -- if it's in the segment, you can get paid basically for those costs. I think that's the mechanism. I just wanted to clarify that. And maybe, Claudia, could you talk about what the dollar amount on an annual basis is on the reallocation from the SG&A line into the segment? .
Robert Pragada: Yes, Andy, it's a great question. It's actually a nice lead-in. So your assessment of that recoverability is correct. And if you just kind of just moment -- for a moment, kind of pre planning for the separation and outpost. Pre, we had a lot of shared costs. And so the direct applicability through the segment was not as clear. And since we started this, we had a great opportunity to now have direct line of sight to where these are being applied. Hit it right in the beginning of the audit cycle, the government audit cycle in Q1 and now have the full year of applying those costs.  So that's -- that's correct. Now on the full year amount, it would be the $17 million that we identified this year -- I'm sorry, this quarter multiplied by 4. But remember, over each quarter that goes down because of the recoverability effect. Did that make sense?
Andrew Wittmann: Yes, I guess it does. The -- I mean the -- so I guess, with -- in the corporate unallocated reported at $59 million for the quarter, I guess what you're saying is unadjusted, that number would have been $17 million higher. In other words, that $59 million benefits from the $17 million that was moved?
Robert Pragada: That's correct.
Andrew Wittmann: Can you just talk about -- underlying that business -- or underlying the underlying costs for the corporate unallocated. Were there any other costs that are notable in terms of separation or other things through the SG&A line right now? Certainly, there's been these efficiency initiatives, Bob, that you've talked a lot about. But is there anything else we should know about that wasn't excluded from that corporate unallocated line?
Robert Pragada: No. No, the $9 million of transition costs took it to $59 million and then the $17 million that we were able to, from a positive standpoint, move into P&PS and get recoverability on it was it. I will say, Andy, we are making progress on kind of our overall cost optimization or reductions that we started at the beginning of the year, to where we'll be right on plan of what we identified last quarter.
Operator: We'll go next to Mike Dudas at Vertical Research Partners.
Michael Dudas: Maybe you can share a little bit more on PP&S relative to the pipeline as it stands today. You talked a little bit in your prepared remarks about margin improvement in backlog. How does that track as we go through fiscal year 2024? Is the -- are you getting better share on higher-margin projects, maybe early consulting advisory relative to design work in some of these projects? And what areas do you anticipate some of the better revenue and booking growth in the P&PS segment as we move through '24?
Robert Pragada: Yes. Mike, it's a great question. So the short answer is yes. We are starting to see that margin increase according to the profile and the mix. And I'd probably index more towards the water market right now on the mix. Just to give you a statistic, year-on-year growth in our bookings in water have gone up 30%. The other kind of notable one is what we call cities and places, but it's kind of our built environment business, it's been really driven by the Middle East. That year-on-year has been about 40%. And what's kind of positive about both of those -- and I never thought that I'd say this before, but from a cash standpoint and a margin standpoint, we're hitting company-wide type of margin targets in the Middle East, which is a positive. And then the water sector has traditionally been our higher-margin component of our business. So kind of 2 trends there.
Michael Dudas: Perfect. And what about for bookings and outlook as we move through 2024? Are those the areas you concentrated or are there other areas, given life science, [indiscernible] et cetera?
Robert Pragada: Yes. So moving forward, we're starting to see some pretty exciting developments happening within the life sciences world. That -- as we've talked about it before, it's been red hot for several years. I'd say, the last couple of quarters, we've seen -- it hasn't declined, but it hasn't been accelerating the way it was in the past. Just in the last 6 weeks, we've had some really deep conversations but these are Tier 1 clients we've had forever, that hopefully we'll be reporting some really good news next quarter on those jobs.  I did mention the Lilly job in Germany. That portfolio, specifically around GLP-1 has continued to be strong. Novo just announced the acquisition of Catalent. Those Catalent facilities are going to need to be retrofitted and we were already in the middle of Novo's work. So that's a real positive too.  So I'd look at life sciences getting back. And then the chip manufacturing world has been kind of at the -- as our design work continued from an external semi market standpoint, we're now on the upswing of a new cycle. And so we're seeing more work around the tool OEM. So a lot of the R&D work in order to support these manufacturing facilities on higher-powered chips really driven by AI has been a nice early bookings. So kind of concept work that's happening there.
Operator: We'll move to our next question from Andrew Kaplowitz at Citigroup.
Andrew Kaplowitz: So Bob, just following up on Mike's question. You mentioned water overall, the Middle East driving your overall People & Places business, which is great. But are there any areas that you are worried about on that side. You mentioned the U.K. for PA, but not really for People & Places. And your backlog was up nicely in the quarter. Does it just continue to sequentially rise from here?
Robert Pragada: Yes, I'd say the answer to the last part, Andy, is yes. And from a margin -- from a P&L margin perspective, we feel comfortable that our year-on-year increase that I mentioned in the script, is real. And so year-on-year margin increased year-on-year. If there were areas where I'd say soft might be too strong, but if there are areas that we've got a high level of attention on, it is the U.K. We've been able to stay flat in the U.K., which is a positive. But we did have the national infrastructure and construction report just published here, I think it was Friday. And the U.K. government committing to the same level of spend, GBP 775 billion over the course of the next 10 years, with some consideration for inflation. So that's an area that we're continuing to put some attention on to make sure that we continue to grow, but overall positive.
Andrew Kaplowitz: That's helpful. And then maybe just on divergent solutions. I know a piece of it is going to go with the RMT, but maybe a little more color on the inventory write-down. Divergence just as you know, like underlying margin is good, but it's kind of been all over the place a little bit over the last several quarters. So what does Divergent look like as you go forward, let's say, post RMT for Jacobs?
Robert Pragada: Yes. So let me just clarify one thing, Andy. The inventory write-down has to do with the Cyber & Intelligence business, and that actually is in the perimeter and will be going. And it's really a part of the separation financials and inventory that we had to disposition. So that's not in the piece that will continue with independent Jacobs. . We see more of it and we're working on this operating model right now. Transportation, water and what we're doing in the built environment around digital enablement, being a strong horizontal cross cutter through now the entirety of the business. So simplifying our reporting as well as taking all the successes that we had within the transportation and water digitization and digital enablement. And integrating them into now what will be independent Jacobs. And so much more to follow on that.
Operator: Next, we'll move to Steven Fisher at UBS. .
Steven Fisher: Bob, you mentioned that you're on track with the cost expectations you identified at the beginning of the year. So does that mean the $40 million of temporary costs and $275 million of restructuring are still the numbers to keep in mind. And if so, how much of that has been incurred to date? Is that the $17 million plus the $9 million? Or should the $40 million be lower now that you're going to be getting reimbursed for some of that.
Robert Pragada: Yes. Yes, Steve, thanks for the question. That's a good clarification. So the first part of your question is yes, those $275 million and the $40 million are still very much in play. I'd say on the $40 million, that's not the -- the $9 million was what was incurred in the first quarter. And so the balance would be over the course of the next 3 quarters, and we're indexing probably more in the first half than the second half. So hopefully, that clarifies that. But yes, we're still on track within the numbers that we highlighted in the previous quarter. The $17 million is not included in that. The $17 million is our costs that are with us. They're recoverable. That's why we moved them into the segment.
Claudia Jaramillo: And Steve, I'll add to the $275 million, we're also on track. And for that, it's a $51 million that I mentioned in my prepared remarks.
Steven Fisher: Okay. That's helpful. And then the 14.6% margin for P&PS, is that on the same basis as the 13.7% in Q1? I assume it is. And if so, and then how quickly do we get above that 14.6% to kind of deliver it for the full year given the lighter side in Q1?
Robert Pragada: Yes. Steve, the answer to the first question is yes. And I'd say within the next few quarters.
Steven Fisher: Okay. So in other words, Q2, we should still be expecting it to be below that? Or...
Robert Pragada: No, no, no, no. It will sequentially increase over the next few quarters to where Q4 will be above where we were last year.
Steven Fisher: Okay. I'm just.
Robert Pragada: For the year. Yes.
Steven Fisher: For this year?
Robert Pragada: For this year. This year will be higher than the last year, year-on-year total.
Steven Fisher: Right. This year, you're guiding to 14.6%, right? Do I have that right?
Robert Pragada: Better than 14.6%. So last year was 14.6%. And then this year will be better than 14.6% full year.
Steven Fisher: And if you're 14.7% for the quarter, you got to start being better than 14.6%. So I guess I'm just trying to figure out how quickly we get better than 14.6%. Is that...
Claudia Jaramillo: It will be a gradual increase.
Robert Pragada: And we'll see that within our reported financials. That's why that -- Steve, that's why I said a few quarters.
Operator: We'll take our next question from Jerry Revich at Goldman Sachs.
Unidentified Analyst: This is Adam on for Jerry today. Can you talk about -- can you talk a bit more about what drove the 280 plus margin decline in PA Consulting even with revenues higher sequentially? And then what drives visibility on the margin ramp through the balance of the year?
Robert Pragada: Sure. So what drives -- I'm going to answer the second part first, Adam. The pipeline as well as the -- we call it stock of work in PA, but its backlog, is driving the optimism there as well as the team really does have better arms around the variable cost structure of the entity. Similar to Jacobs, it's a people business, asset-light and services-oriented. The drop was probably driven a little bit by some volatility with our clients in December. And the discretionary spend of -- and it was kind of more in the U.K. business and around what was going on within U.K. government, defense and security as well as the public sector work. And so that was -- that kind of -- if it stops on a dime, we can't make those variable cost actions. And so we ended up seeing that in the quarter. That has since kind of returned and then we're managing our variable costs ahead of it, similar to what we did in mid last year.
Unidentified Analyst: And then on the top line, solid growth this quarter, high-single digits, but the comps get a little harder from here. How are you thinking about the organic growth outlook in the balance of the year amid some of the things going on in the U.K. market?
Robert Pragada: Yes. I think we're still in that kind of mid-single digits to mid-high singles. [indiscernible] for 3 years. 3 years has been double-digit growth. And so we're still growing. I think we're probably kind of in that mid-single-digit growth now.
Operator: And next, we'll move to Chad Dillard at Bernstein.
Charles Dillard: So I wanted to spend a little more time on just like what you're seeing from a booking standpoint, in People & Places. So first place is just like on the semiconductor side. So it sounds like there's a number of grants to be announced by the U.S. in March. To what extent do you think that could potentially unlock with more activity from a design standpoint. And then just like what are you seeing from like a domestic versus international perspective, just for semi design?
Robert Pragada: Yes. So let me answer the first one, Chad, just writing some notes on. On the grants that are coming out, I would probably -- similar to what I said to Mike Dudas is that those grants are being utilized predominantly in the R&D side, right? Because these larger facilities need to get to full production and so the larger IDM or the integrated device manufacturers are probably thinking more about the semiconductor buy cycle, right, and timing their output or the start-up of those large plants. So those grants then go to where technology advancements are happening, and that's happening at the tool OEMs. And so actually those -- that's kind of driving our bookings right now as well, those tool OEMs. The great thing here about Jacobs is we're inside the technology of the tool and understand the facility requirements for them. So we got a nice position there, and that's what's kind of driving the bookings within the semi piece.  Right now, I'd say that predominantly, it's domestic. We are seeing some activity in Europe around the EU Chips Act. But really, the business is probably more indexed towards the domestic piece. I would say that the country that we're really watching and are in the midst and was just there in December is the growth of foreign direct investment in India.  And as chip manufacturing potentially pivots from China in India, so into India. And so we're kind of on the front end of that as well, both large-scale Indian clients as well as foreign companies that are non-Indian clients coming into India.
Charles Dillard: Got it. That's super helpful. And then just going back to the cost reallocation from [indiscernible] allocated to People & Places. Just wanted to get a sense for like how long it will take before you actually can hit the P&L. Do you have to go through like a full bid cycle. So in other words, do you have to like fully turn over the backlog before you see those benefits?
Robert Pragada: No, it's gradual. It's gradual. So those [indiscernible] starts the next quarter, I'd say from a full kind of actualization of those costs that goes in, it's about a 12 to 24-month cycle. But just to reiterate, Chad, we're reiterating our year-on-year margin improvement even with the gradual recoverability of that overhead.
Operator: We'll go next to Sabahat Khan at RBC.
Sabahat Khan: Just a follow-up on the PA conversation earlier. Obviously, we see the bookings number. But I guess, as you're talking to your clients in that space, are you seeing a bit of a pipeline build up there. That business is obviously a bit more macro impacted than the P&PS business but just wondering where sort of the conversations are that aren't in the backlog right now for that business line?
Robert Pragada: Sure. I'd say that, so the 2 areas within PA that we're getting 1 actually is kind of ubiquitous in today's world as well as within the PA world. And then I'll go to an end market sector, is the use of AI and AI enablement in our clients' business as a driver of business transformation. And so to kind of toggle here, it's good for PA, it's good for Jacobs, in that the AI enablement is the start of the conversation. I think some clients now this kind of goes to how quickly does that get into an engagement, get into backlog, we realize in P&L. That's kind of where we are right now as far as where we are in the cycle. So AI is a big driver. But the timing and speed of how our clients are embracing it is driving some of the booking cycle.  The second from an end market standpoint is Life Sciences. And so PA has been able to take not just AI, but other knowledge and look at the transformation of the whole clinical study program, especially as that's kind of gotten more patient-centric with different types of therapies for each patient. PA has rightly been right in the middle of all of that. And so that kind of got a tail on it as well.  And then the last one that is really kind of starting to develop in our pipeline at PA is around the use of AI in early-stage drug discovery piece, and it's real, real early stage. I mean clearly, the Tier 1s are way out ahead. But PA does it from more of a standpoint of how that's going to transform kind of the Tier 2 and Tier 3 clients. So some good stuff. I'd say this the timing right now of how quickly those get embraced while clients are thinking about their own business is causing some of that near-term softness.
Sabahat Khan: Great. And then I guess on the P&PS side, there's been some discussion about when some of the larger funding packages really got going. But -- maybe if you could provide a little bit of color around your top line guidance for P&PS. And what assumption is in there from kind of contribution from the IIJA or the IRA. And -- or how much of it is from kind of just base level business and how maybe the government funding is tracking relative to initial expectations?
Robert Pragada: Sure. Yes, I'd say that, that guidance that we've been pretty true to and I kind of -- I mentioned a statistic there that 6% to 9% or mid- to high-single-digit growth and for the last 5 quarters, we've been right there on the high end of that range is where we're seeing the IIJA component of that is we just saw some statistics that we're -- from a time line standpoint, halfway through, but on some of the larger rail and highway specifically, we're 25% outlaid -- 15% obligated and 25% outlaid on the actual money. So it hasn't been a big piece of the growth. But the positive news is that it looks like that 5-year cycle is definitely going to get extended.
Operator: Our next question comes from Bert Subin at Stifel.
Bert Subin: Bob, just to follow up on that point. If we look beyond '24 and maybe into '25 and past that, it sounds like your visibility is generally improving not just in advanced facilities but in large parts of P&PS. As you think about potentially toggling you're above what your medium-term view is for the segment, what would drive that? Is that more a function of winning some specific larger projects? Or is it the flow of funding under some of these programs?
Robert Pragada: Yes, Bert. And are you saying independent of advanced facilities to the other kind of non-advanced facility sectors or to inclusive of.
Bert Subin: No. I think inclusive of, I guess, from what you were saying, Bob, in your earlier comments, it sounds like you feel like you're more on that upslope and you're seeing sort of the path of some of that CapEx will be beneficial for you. So including that and thinking about what you just mentioned about IIJA and some of the other programs, it seems like your visibility is quite good. If you were to say, several years from now, look at you and you were growing at 9% or faster than your 6% to 9% growth range. I'm just curious if that's more a function of winning some of those larger projects that are out there? Or is it just the funding needs to flow sort of on time?
Robert Pragada: I would say it's probably more of winning those projects in the market that I would index towards is water. The pipeline growth in water, and I mentioned it last quarter, Bert, and it actually has continued this quarter. It's not as big as transportation, but if transportation continues at the same kind of clip even with the IIJA comment, but water continues at the rate that it is right now, and we're having this conversation 6 to 8 quarters from now, water and then water and environmental for those 2 are kind of interdependent on each other. I'd say, is the one where we're seeing not only the projects being announced but the funding be applied, and a lot of that is being driven around water scarcity.  And look at what's going on in California right now, it's either we got too much and we got to figure out where to put it or we don't have enough and we got to figure out how to find it and treat it. And so I'm oversimplifying, but that's probably what I'd say.
Bert Subin: Got it. Okay. That's super helpful. Maybe just a cost side question. If we look at that bridge that you guys put in the deck going from 10.8% to 13.8%, can you just help us think through how much of that is cost cutting related and how much of that is just improved mix? Sounds like you're pretty bullish on the margin opportunity in P&PS. So is that a function of just you're getting better projects? Or is it more cost cutting? Or is it sort of 50-50?
Robert Pragada: I'd say it's balanced. Probably 50-50. There's a 50% mix, but 50% is a leaner organization with now and we've started as of Q1, a level of recoverability and optimization of our cost structure rather than the straight variability of, if you're busy, you spend and if you're not, you cut, right? We want to get more of in the steady state.
Operator: And there are no further questions at this time. I would like to turn the conference over to Bob Pragada for closing remarks.
Robert Pragada: Yes. Thank you, everyone, for joining us on the call. A lot of exciting things happening in the business right now, and we look forward to giving you further updates in quarters to come.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.